Operator: Welcome to the Q4 2016 Globalstar Incorporated earnings conference call. My name is Adrian and I’ll be your operator for today’s call. At this time, all participants are in a listen-only mode. Please note this conference is being recorded. I’ll now turn the call over to Jay Monroe, Chairman and CEO. Jay Monroe, you may begin.
James Monroe III : Good afternoon and thank you for joining us to discuss the 2016 results and our highlights. Following my prepared remarks, Rebecca Clary will provide an overview of the fourth quarter and full-year 2016 financial results followed by Q&A when Tim Taylor will also join us. Please note that today's earnings call contains forward-looking statements intended to fall within the Safe Harbor provided under the securities laws. Factors that could cause the results to differ materially are described in the forward-looking statements section of Globalstar's SEC filings and in today's press release. This release which is available on our website also includes a reconciliation of the non-GAAP financial measure adjusted EBITDA to net income or loss, its most comparable financial measure calculated under GAAP. While we provided a full spectrum update in early January, this quarter represents the first earnings call following the successful conclusion of the FCC process in late December. I don't plan to provide a complete recap of the proceeding again and will align this call with the internal focus of Globalstar's going forward discussion. First is our drive to continue the growth in our core satellite business. Adjusted EBITDA expanded 46% in 2016, driven by increased service revenue and the continued successful expansion in new markets. Second is the path to secure a terrestrial spectrum partnership or a set of partnerships in the United States. Third, we're focused on the process to secure terrestrial spectrum rights throughout the world. And while we certainly don't expect to win approvals in every global jurisdiction in the near-term, we know many countries view the FCC’s conclusions as good policy and a policy that establishes a precedent for the adoption of harmonized authorities. This is of course a significant undertaking and I will expand on our plans for accomplishing it in a few minutes. Also, while Rebecca will elaborate on this, we have announced that we will execute a financing this year. This is something we know how to do well, having raised $1.5 billion of total capital in multiple transactions since going public. The amount and timing for this is dependent upon conversations with our senior lenders, which are currently moving forward and who are very supportive of Globalstar and our plans in this regard. We expect the amount raised to be modest versus our market cap and note that only a small amount is required by midyear and the balance over 70% of it is needed by year-end. The financing will be used to fund principal payments that will reduce leverage and increase equity value. Thermo is committed to being a participant in any such arrangement as we have been for nearly every Globalstar financing. As mentioned, the core MSS business produced increased adjusted EBITDA of 46% in 2016, resulting from a 16% increase in duplex service revenue and a 14% growth in spot service revenue. ARPU growth was the main driver of this, while the average net subscriber base for duplex and spot increased 5% and 7% respectively for the year. Non-North American average subscribers across duplex, spot and simplex improved 18% in 2016. Our efforts to expand Globalstar's presence in South and Central America was the primary driver of this growth and these market areas may accelerate further this year if we successfully close a few tuck-in acquisitions in furtherance of our continued shift away from wholesale and towards a more direct business mix. We have demonstrated that we can leverage our current operating expense base, which is primarily fixed cost. The key is adding high-margin service revenue. While we see some value in equipment margin, our business is best served by selling as much capacity as possible on the network. So, we will strive to reduce the cost of manufacturing and thus be able to reduce selling prices to attract an expanding set of customers and applications to our platform. Late last year, Hughes and Ericsson completed their equipment deliveries in their contracted CapEx work on our second-generation ground network. With the second-generation satellites in service, the ability to utilize expanded capacity and to offer robust second-generation MSS services is most effective by utilizing an upgraded ground network. The final element to offering new services is rolling out new products across duplex, spot and simplex. Up first will be a two-way spot product that can both send and receive data transmissions. Our second-generation simplex products will follow including a solar powered SmartOne commercial tracking unit. The product teams will then release the next generation Sat-Fi product, integrating the Hughes chipset with the ground network. Now, let's turn to spectrum. While we are pleased that the FCC process resulted in such a favorable outcome, we are by no means resting on our laurels. The final rules adopted by the FCC allow for an unfettered indoor and outdoor small cell service. This represents one of the highest and best uses of the spectrum and provides a high-quality solution to address increasing capacity requirements across potential partners’ wireless networks. This is equally applicable to existing carriers and to emerging telecom market entrants. A small cell rollout is also best to take advantage of the propagation attributes of the 2.4 GHz band and to take advantage of the evolution of transceiver architectures, which are now compatible with our spectrum for LTE. This is something that would have required a mammoth development effort just a few years ago. The primary components of the ecosystem, to deploy both infrastructure and end user devices in our frequency, is very well developed. The principal vendors for small cells generally have the capability to address Globalstar’s 2483.5 through 2495 band in today's transceivers. In fact, most now operate architectures which support multiple frequencies, including ours, and can make any band-specific modifications to filters and other peripheral components quickly as compared to the way the new band development proceeded historically. Much of this is the result of the work done by these vendors to develop common product platforms, allowing them to remain competitive in a notoriously cost-conscious segment of telecom. Further, the evolution to more and more sophisticated frequency aggregation techniques has demanded that the infrastructure be able to operate across many bands simultaneously to achieve the promises of aggregation. For end user equipment, the situation is parallel. The newest smartphones, tablets and computers are built to support up to 35 separate frequencies. In fact, Intel just announced that its newest integrated chip family provides 230 frequency aggregation combinations. Chip vendors are working towards a future where a single SKU can be used on a universal basis globally. While Globalstar's band may operate on a standalone basis, aggregation technology eliminates the orphan band risk since spectrum is banded together into larger slots. The tech industry is littered with failures based upon the inability to keep up with the pace of innovation. Today's innovations around aggregation, multifrequency chips, speed and cost are the priorities that play to Globalstar’s strength with the spectrum. These are the exact areas that chip, infrastructure and user device manufacturers are focused on. We also have the opportunity to take advantage of a massive TD LTE global ecosystem that has been built up very quickly. There are good reasons why the two countries with the largest populations in the world, India and China, have moved to TD LTE. Their lower cost implementations, full exploitation of smaller parcels of spectrum, like our 11.5 MHz and the relentless focus on innovation make TD LTE the preferred deployment strategy currently and for the foreseeable future in these markets. We believe it will continue to expand everywhere and we’re well-positioned to work together with large global operators with this protocol. Since FCC approval only 60 days ago, we have initiated the process to secure a long-term partner for the US. We have begun to approach companies across wireless, cable and tech in both the US and around the world who are interested in having dedicated small cell capacity. Some of these companies previously tested with us and are conducting additional technical diligence now. Since we worked with them previously on TLPS, we have existing relationships which are helpful at this stage. For a carrier, dedicated small cell LTE capacity over our 11.5 MHz offers a set of physical and regulatory advantages that provides the benefit of substantially increased capacity and throughput without macro tower interference. For a new market entrant, this band provides an LTE service in urban and semi urban environments with significant ecosystem, cost and timing advantages, allowing for a license service when many of these companies had been generally limited to unlicensed alternatives, MVNO arrangements or both. We look forward to selecting the best US partner for the company. The international regulatory effort was initiated in mid-January. We are aggressively executing our plan to seek approval for 16.5 MHz of our spectrum. While each country is unique, the general process to obtain terrestrial authority is consistent. First, the company petitions the governing body that is the equivalent of the FCC in each country and then that body must decide whether to move our request forward and the timeline under which they will do so. The authorities will then make public certain proposed rules that may or may not open the record to comments, after which they finalize an order. As disclosed last month, the first part of this process has been completed and formal filings made in three countries with at least one more expected by the end of March. In total, these four countries represent approximately 375 million pops, in aggregate larger than the United States. And we expect to file in additional markets starting in Q2. We have been pleased with the reception to date by the international regulators since our petitions are in line with long-held policy goals to create harmonized spectrum bands across national borders. Unique incumbent telco requirements in each country have developed over many decades, creating a system that makes global harmonization almost impossible in any other licensed spectrum. The 2.4 GHz band is unique in this way due to the uniformity of the allocation to unlicensed use, primarily Wi-Fi. The uniformity of Globalstar's MSS service is, of course, global and consistent across all regulatory domains, thus our pushes to create a globally harmonized terrestrial resource. We believe the value we bring to global consumers, in addition to the value placed on spectrum policy from harmonization by regulators will help drive approvals. Our goal is to have one terrestrial band harmonized globally under a single corporate owner, which is completely unprecedented. To effect this process, we have engaged a team of advisors, including multinational consulting firms and law firms. The advisors are generally devoted to specific regions and are different in each of Central and South America, Europe, the Middle East, Africa and Asia. No single firm can be the best everywhere, so our teams are picked for where they have indisputable expertise and deep historical relationships with local regulators. It is paramount to have experts with both in-country experience and an in-country physical presence. Our team includes regulatory professionals, some of whom we’ve worked with previously, in addition to an expanding internal team to manage the resources required to prosecute multiple proceedings simultaneously. To date, we’ve selected a total of 114 countries and have our in-country teams moving forward with initial assessments, leading to petitions. Expect updates as this process further develops during the year. I’d like to turn the call over to Rebecca now who will provide a more detailed overview of Q4 and the full year 2016 financial performance and I’ll rejoin at Q&A.
Rebecca Clary: Thank you, Jay. And good afternoon, everyone. As Jay mentioned, we have shown another quarter of meaningful growth in our MSS business as an expanded subscriber base and higher ARPU drove a 7% increase in total revenue when compared to both the fourth quarter and full year 2015. Focusing on quarter-over-quarter financial performance, total service revenue also increased significantly, up 14% resulting from growth in all of our primary revenue streams. Duplex service revenue, which was up 19%, was driven almost entirely by the nearly Rebecca Clary $6 increase in ARPU. The increase in ARPU among our 76,000 subscribers was due to a combination of new subscribers selecting rate plans higher than our current blended ARPU level, price increases for some of our legacy rate plans and a greater number of revenue-generating subscribers in the base. Despite the over 20,000 Duplex subscribers we activated on the network during 2016, our average customer count was essentially flat from the fourth quarter of 2015 as we deactivated more non-paying subscribers and experienced slightly higher churn from rate increases. Maintaining a quality, high revenue producing subscriber base has been our focus. Through designing a collections process that churned out non-paying customers, ensuring that our rate plans are appropriately priced and consistent across the base and strategically deploying our first-generation equipment in order to maximize recurring service revenue. As you all know, higher profitability from our service contracts has a direct and meaningful impact on our operating results and therefore will continue to be a principal focus area for us. Spot service revenue improved 12% during the fourth quarter of 2016 due to a 7% increase in ARPU which reflected higher pricing across much of our customer base and a 5% increase in average subscribers. Gross spot subscriber additions grew during 2016 following successful promotions on our spot equipment. These promotions continued into the 2016 holiday season when we sold almost 24,000 spot units, more than we have ever sold in a single quarter. We expect that activations from these equipment sales will continue to drive higher service revenue in 2017. The increased in service revenue was offset partially by a decrease in revenue generated from subscriber equipment sales. Over 70% of this decrease was due to a lower volume of simplex units sold, a continuing trend for our commercial tracking business. By far our best selling and most profitable simplex device is one that has been a mainstay in the oil and gas industry for years. With our largest simplex resellers operating in this industry, we have seen a significant decline in the number of units sold. Sales of this device were only 10% of the number of units sold in the fourth quarter of last year. However, the slowdown in the oil and gas industry has led us to diversify our customer base and explore new opportunities and product designs across a broader range of industries. The decrease in simplex equipment was offset partially by an increase in spot equipment revenue. While spot equipment revenue increased 14% during the fourth quarter of 2016, the number of units sold increased 29%, driven by holiday sales previously mentioned. Net loss increased from the fourth quarter of 2015 due primarily to higher non-cash derivative losses. Our derivative values can fluctuate widely based on various inputs, but primarily are driven by changes in our stock price on the beginning and ending days of each reporting period. Unlike the prior year, there was a significant increase in stock price during the fourth quarter of 2016, which resulted in a larger valuation adjustment. Adjusted EBITDA increased 11% during the fourth quarter of 2016 due primarily to a $2.6 million increase in service revenue. This increase was offset partially by a 9% increase in MG&A and cost of services excluding EBITDA adjustments. The single largest driver of the increase in operating expenses were previously contracted support and maintenance costs to Hughes and Ericsson related to our second generation ground infrastructure. These costs commenced during the fourth quarter of 2016 and our expected to be approximately $2 million in 2017. Also, negatively impacting EBITDA was $700,000 or 54% decrease in the margin recognized on equipment sales. This decrease was due both to the decline in the number of high-margin simplex units sold and the promotions that our retailers ran on spot units during the 2016 holiday season. This spot promotion negatively impacted EBITDA as it reduced selling prices. However, the higher number of units sold through this promotion should positively impact EBITDA in future periods due to the recurring service revenue generated once these units are activated. On a year-over-year basis, adjusted EBITDA was up 46% from 2015. On a 12% increase in service revenue, with MG&A and cost of services up just 3% after excluding EBITDA adjustments. This trend in high-margin service revenue driving significant EITDA growth has continued throughout 2016, reflecting the operational efficiency of the company. Outside of incremental cost to support and maintain our second-generation ground infrastructure as I just discussed, we expect this improving operating margin to continue. And now, a few comments on liquidity. As of December 31, 2016, our sources of liquidity included cash flows from operations, our cash balance of just over $10 million, and availability under our common stock purchase agreement with Terrapin of $12 million. This amount was drawn last month to use as an equity cure for financial covenants under our facility agreement. We remain in compliance with all of our debt agreements as of December 31, 2016. We also continue to hold $38 million in a restricted debt service reserve account, which will be used as a longer-term source of liquidity for principal and interest payments due under the facility. Projected contractual obligations over the next 12 months consist primarily of debt service payments due in June and December 2017. These amounts include principal payments due under the facility agreement of $76 million, interest payments due under the facility and subordinated notes of $24 million and a payment of $21 million for the balance of fees relating to the 2013 facility amendment. We expect to fund these obligations by raising equity or equity-linked capital this year. While the majority of our obligations are not due until the end of 2017, we are exploring various options. And while we cannot make any assurances, we look forward to announcing a financing in the coming months. In summary, we are pleased with another year of solid financial results. We continue to grow high-margin service revenue by setting rate plans commensurate with the level of service we provide across our product lines. And while certain operating expenses have increased to support our business growth and newly upgraded ground infrastructure, we have demonstrated that we have a largely fixed cost operating structure that enables us to continue to operate efficiently. I will now turn the call over to the operator for Q&A. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from Jack Harnette [ph] from Quadrant Capital. Please go ahead.
Unidentified Analyst: Hi. Thanks for the comments. My question is dilution. Did I hear it correctly that capital being raised is going to dilutive to current shareholders?
James Monroe III: So, the exact form of the capital raise is going to be dependent on our discussions with our French banks. So, it can come in the form of either equity, equity linked or debt like structure. If it is equity or equity linked, then, yes, there would be some dilution. Small overall. Right now, given today's close, you have a basic market cap of about $1.6 billion, so it's a pretty small percentage in terms of total current market cap.
Unidentified Analyst: Does this have anything to do – as a follow-up here, does this have anything to do with – one of the companies that recently bought – I think it bought about 5% of outstanding shares – it’s a company that takes public companies private. Is there any indication here that there’s a possibility of going private?
James Monroe III: Jack, no, we have no intentions to take Globalstar private. I’m not sure that I know of the 5% shareholder that you mentioned. What is the name of them?
Unidentified Analyst: I have to look at that. If you give me a context, I’ll be glad to give it to you tomorrow. It’s – somebody came in recently and bought a bunch of shares and the company that did that is well known for investments in companies that they wish to take private. And it just struck me as I follow the shares that if that was a possibility here and I hope it isn’t. I’ve been following this company for a long time. I think you fellows have done a great job going – just combating market activity at this point in time and I just hope that’s not the case.
James Monroe III: Jack, I appreciate your thoughts on that. We've been very forward in the past several years about not taking the company private. There are a lot of investors like you that are in Globalstar stock and including many, many, many of our employees at Globalstar. And to do something like that, in my view, disadvantages those parties. So, we've really been pretty clear that that is not our intention. I will look at new investors though and see what I see. I'm just not sure that I'm familiar with that particular transaction, but I’ll get to the bottom.
Unidentified Analyst: Can I ask one more question?
James Monroe III: Sure.
Unidentified Analyst: You’ve had recent meetings with JP Morgan, Morgan Stanley, I believe, and is there any comment on those meetings that you can give us?
James Monroe III: We met in New York with a number of analysts, attended by about 70 investors in total. It was a very, I’d say, productive two days. We’re going to try to do similar events like that every quarter where we are able to get in front of investors and not spend many days. We have a business to run and efforts around the world. So, we’re much more focused on all things operational. But going forward, we do intend to do productive sessions like that. And I think, overall, it was well attended and the feedback was quite strong.
Unidentified Analyst: Okay, thank you very much.
James Monroe III: Thank you.
Operator: And our next question comes from Jim McElroy [ph] from Sheridan Capital. Please go ahead.
Unidentified Analyst: Yeah, thank you. And good evening, everybody. Rebecca, can you talk about the 2018 principal and interest payments due?
Rebecca Clary: Sure. So, in June 2018, our principal is roughly $39 million with interest approximating $11 million. And in December 2018, our principal will be the same amount, $39 million with interest a little under the June payment at $7.5 million. And, of course, that’s estimating LIBOR.
Unidentified Analyst: Yeah. And there’s nothing like that fee, there's no other fee that we have to worry about?
Rebecca Clary: No. So the balance fees from the 2013 restructuring is what we’ll pay in December.
Unidentified Analyst: Got it, got it. Great. And, Jay, you talked about the international processes. I'm not sure – maybe you said it. But if you did, could you go over it again? I know it's hard to estimate how long those might take and, obviously, it’s going to depend on the country, but can you just hazard a guess. I know we were all surprised by how long the US took. So, I recognize it’s a hazardous task to try to guess how long it could take, but could you hazard it anyway.
James Monroe III: Yeah, sure. Let's talk about it qualitatively anyway. Jim, in the United States, as you know, we started off with a process to do TLPS. And TLPS implicated the 10.5 MHz of the unlicensed band. And that is what dragged that process out in the United States for as long as it did. And we can quibble a lot about whether we should have been permitted to go forward with it or not. But the process was really defined by a series of sub processes. If you look at it in a more objective manner and say what did the process look like after we started to socialize changing from TLPS to solely within our own licensed band, then you can say it actually went very quickly. It would be a little bit disingenuous to say that process only lasted the roughly six or seven weeks from the time we filed the new request to the time that they approved it because it was a body of writing that had gone before and the proceeding was fully vetted by that point. But it's not difficult to imagine that now that we have this order in hand that a lot of countries who look to the US for guidance won't be able to move very quickly. I know we were talking to one party in another country and they took it as a personal challenge to beat the six-week timeframe. They won’t be able to do it, but they were interested by it. So, as you go through this and imagine that each of the jurisdictions will have different time frames, some of which are smaller countries and a little bit easier to manage through, some of which are larger, but there are different dynamics at play in many of them. In the work that we’re doing right now, one country that I would've thought would have been a very, very long time frame for a number of reasons is one that we were told by the regulator permits them to move unbelievably quickly because they have a free hand, a much less political process and a freer hand. So, I would suspect that the game for us is to get many, many of these processes begun and then they’ll play out in different periods of time. But in the aggregate, there will be a lot of them. And think about it from the perspective of all of the ITU signatories, there are over 190 countries that are ITU signatories, all of which, at some point or another, we will be in front of. So, when they start to start to click off, you can imagine that there are a number of them happening every quarter. The question that you ask is when is the first one, of course, and we’re pressing these as quickly as we can and I don't expect the processes to last anything like as long as the one did here in the United States for the reasons I already mentioned.
Unidentified Analyst: Right. Well, I share your thoughts on that one. But in the US process – this is just me speaking. US process was ridiculous. I’ve never seen anything like it. You have some comment about four countries and 375 million pops. Can you just repeat that again? I was a little bit confused by what you were getting at. Were those countries that you have petitioned or engaged with or you're looking to target or something completely different?
James Monroe III: Yeah. Those are countries that by the end of this quarter, we will have made a fulsome filing to the regulator. So, those are countries that will be absolutely in play, working their way through their equivalent to our FCC process. We hope it's the short side of the FCC process as we just discussed. And in each of those countries, the aggregate population sums to 375 million. I think the interesting thing is that as we look to where we go, we’re picking countries where we have existing relationships and those are usually licenses to do business with our satellite system and where we sell products and where we have large markets and so forth and so on, which allows us good standing to already be in conversation with the regulators. And then we sit down with the regulators, they already know you and they're trying to be helpful. Further, what you're asking them to do is use spectrum which you already use just in a slightly different way, but not to turn down the satellite service. So, it's a fairly straightforward discussion and we’ll see how rapidly those four countries move, but we have 114 in total that we have prepared some work in and many, many more filings will occur like the first four in the second quarter and in the third quarter this year.
Unidentified Analyst: And did you give us a statistic as to how many countries or how many pops you would hope or target to have, as you put it, a fulsome filing to the regulator by year-end?
James Monroe III: We haven't said what that is. But as we know more, just like we said in January that we expected to have four done in the first quarter, I think we’ll know more and from time to time give people an idea of how many more we’re filing in. But I would certainly expect the pace to accelerate. We have a terrific team out there doing it. They’re helping us in all of these jurisdictions. As I said, they’re on the ground in-country with physical presences as well as long historical experience with the regulators in those countries. So, I think once they start to file in a few more countries, it will become easier and easier for us to file. And as you might imagine, if they start approving them in foreign jurisdictions, then it becomes that much easier for other foreign jurisdictions to say, oh, okay, so the United States, plus this country, this country, this country, this country, I'm in good company, I'll file or I’ll approve. So, I think the thing naturally picks up steam.
Unidentified Analyst: It seems as if you're not going to wait to get a partner in the US before you target other countries. You’re not going to say, well, let's wait and see if company ABC in the US, which also operates in one of these four countries, is going to strike a deal because then maybe we can strike a deal for two or three countries. It seems like you're not going to do that. You're looking at these as independent markets and trying to do independent deals in each of those markets. If you happen to get a company that shares geographies, great, but you're not going to make that the key behind the way you go after international markets. Am I understanding that correctly?
James Monroe III: I think you are. And if you imagine the universe of companies that are interested, the United States has a group of companies that are telco carriers, a group that are cable, but the wildcard in all of this is how aggressive the tech companies will be. And there are other smaller groups beyond that, but the tech companies as sort of a large block. The tech companies are very interested in the United States, but they're even more interested in the balance of the world. So, if the four that I mentioned or the 114 that I mentioned were already done and filed, you can imagine that the attention from Silicon Valley is different and there's the possibility of doing something, which is global or near global. But if you had to say who within the United States could move more quickly, you would probably say those that have a lot of current use for an understanding of spectrum and that would favor the carriers and the cable guys. As far as we’re concerned here at Globalstar, a transaction in the United States would be a major event financially. It would de-risk the entire business massively. And as a result of it, as good stewards of the capital that people have placed with us, it's important that we do that if we can. So, if we could do a deal in the US promptly and at a good value, we would do that because it makes everything else that we do globally easier.
Unidentified Analyst: Got it, got it. And just back on the constellation, for this year and next, is there – are there additional geographies that are going to either be new field – greenfield expansions where you might have, let’s say, a minor presence and you want to bulk that up that’s going to require additional marketing or infrastructure spend or is it just mostly modest, stick with your markets and grow the business [indiscernible].
James Monroe III: I think there will be opportunities and there are a couple of them that we’re working on, which would have the effect of deepening or expanding the footprint somewhat. And realistically, whether that would result in any substantial additional spend in 2017 is – it’s up for debate. But if you get a deal done with someone or you decide you’re going to expand by putting a new gateway somewhere halfway through the year, then the reality is that the spend that you're talking about won’t show up until some year in the future. So, I don't think I would anticipate increased spend this year.
Unidentified Analyst: Okay. Okay, great. Well, thanks a lot. I'm sorry to hog the call. And as always, best of luck.
Rebecca Clary: Thanks, Jim.
James Monroe III: Thanks, Jim.
Operator: [Operator Instructions] And we have Mark Weinstein with a question.
Unidentified Analyst: Yes, good afternoon. I’m a private investor. And I’m just curious to know how you’re managing the spirits of your investors and your employees as the stock price has been sliding over the past few months.
James Monroe III: I’m sorry. I couldn't quite hear you. Could you ask the question again, Mark?
Unidentified Analyst: Yes. I’m curious to know how you’re managing the spirits of your investor community and your employees as your stock price has been sliding, if you will, over the past few months.
James Monroe III: I think – let’s divide the groups into two. Our employees are very close to everything that's going on inside the company and they, of course, would like the stock price to go just up into the right. I think that's fine. That’s how everybody feels about stock. But these are employees who love their jobs, they love what we’re doing. Every day, we’re saving people's lives with these products. And most of the employees are engaged in that effort on a day in, day out basis. So, I would say the spirits are great. People around here are bullish and having a great time and working their tails. The investor community is a little bit different. We have some very significant long-term investors in Globalstar that are thoughtful, have been with the company as investors for years, they would like to see the stock go higher, of course, but they understand where we are and they understand what the opportunity is ahead of us. And so, all of us would like to see a much higher stock price than the one that we have right now. But the long-term investors who really understand the spectrum opportunity, combined with the satellite opportunity, see an enormous long-term opportunity in the stock. So, we all want it to be higher, but it is what it is right now.
Unidentified Analyst: Thank you.
Operator: I will now turn the call back over to Jay Monroe for closing remarks.
James Monroe III: Well, thank you all for joining today. We always appreciate this opportunity. The next time we’ll be on a call together, if everyone chooses to join again, it will be about 60 days from now when we report first-quarter results. We’ll keep pressing forward with everything related to the international satellite opportunities, the international spectrum opportunities. And, of course, we’ll be working with potential partners in the United States in order to wrestle some sort of a partnership to the ground on Globalstar's US approved spectrum. Thank you all for joining and talk to you shortly.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.